Operator: Ladies and gentlemen, thank you for standing by, and welcome to the Aurora Mobile Third Quarter 2025 Earnings Conference Call. At this time, participants are in a listen-only mode. After the speakers' presentation, there will be a question and answer session. You will then hear an automated message advising your hand is raised. And to withdraw your question, please press star 11 again. Please be advised that today's conference is being recorded. I would now like to turn the conference over to your host today, Rene Vanguestaine. Please go ahead, sir. Thank you, Michelle.
Rene Vanguestaine: Hello, everyone, and thank you for joining us today. Aurora Mobile's earnings release was distributed earlier today and is available on the IR website at ir.gguang.cn. On the call today are Mr. Weidong Luo, Chairman and Chief Executive Officer, Mr. Shan-Nen Bong, Chief Financial Officer, and Mr. Guanyang Chen, General Manager. Following their prepared remarks, they will be available to answer your questions during the Q&A session that follows. Before we begin, I'd like to remind you that this conference call contains forward-looking statements within the meaning of Section 21E of the Securities Exchange Act of 1934 as amended and is defined in The US Private Securities Litigation Reform Act of 1995. These forward-looking statements are based upon management's current expectations and current market and operating conditions, which are difficult to predict and may cause the company's actual results, performance, or achievements to differ materially from those in the forward-looking statements. Further information regarding these and other risks, uncertainties, and or factors are included in the company's filings with the US Securities and Exchange Commission. The company does not undertake any obligation to update any forward-looking statement as a result of new information, future events, or otherwise, as required under applicable law. With that, I would now like to turn the conference over to Mr. Luo. Please go ahead.
Weidong Luo: Thanks, Rene. Greetings to all. Welcome to Aurora Mobile's 2025 Third Quarter Earnings Call. Before I comment on our Q3 results, I would like to remind everyone that the quarterly earnings are available on our IR website. You may refer to that as we proceed with the call today. Without further ado, let's get started. As we did in the past, based on the Q3 earnings numbers, the suitable discretion I will give to the fourth quarter result is good things. Kind of impulse. Because we record the first-ever back-to-back quarterly net GAAP profit in our history. Following the Mandan net debt profit last quarter, our strong business performance carried us across the line again in Q3. Let me elaborate more on the strong business we have had in this quarter. Firstly, the group's revenue this quarter of RMB 19,900,000, achieving a remarkable 15% year-over-year and 1% sequential growth. This RMB 19,900,000 was at a very high end of the guidance we have provided. Secondly, our global flagship product, Engagement, continued its great momentum with another quarter of great numbers. Engagement app recorded a very strong quarterly growth in customer number and contract value growth. In particular, Engage Labs ARR for September 2025 stood strongly and reached a new milestone at RMB 53,700,000. It has grown by 160% year-over-year. Thirdly, our financial risk management business had its best quarter yet, recording the highest quarterly revenue of RMB 222,600,000 with growth of 43% year-over-year. Fourthly, gross profit exceeded our expectation and grew strongly by 20% year-over-year while achieving the highest growth gross profit for the past fifteen quarters. Gross margin has also improved year-over-year and quarter-over-quarter. Last but not least, have you ordered a great number about its grade? It's equally important that we are generating positive cash flow and in great cash position. Indeed, we are. The net operating cash inflow of RMB 23,300,000 recorded the highest level since 2020. It is very humbling for me to share with you all on yeah. And others, there are quarterly financial results. As I mentioned in the pre-earnings call, assuming historical GAAP net profit was not easy. For us to have back-to-back GAAP net profit is simply a great achievement for Aurora Mobile. To achieve that, all the processes in the organization worked really well for the entire fourth quarter of 2025. Our hard work and commitment to excel throughout Aurora Mobile will not stop here. There are more we need to achieve together. And we will. Short of giving our promise on this call, I truly hope for all the team's dedication or execution on our group's strategy and going forward. Now let me share more on the individual business performance. Our total Q3 group revenue has grown both year-over-year and quarter-over-quarter. In particular, revenue grew 15% year-over-year driven by strong numbers from developer services and financial risk management basis. Again, in this quarter, all business segments, many developers' subscription services, video ad services, and vertical applications, record story acceleration, with double-digit year-over-year revenue growth. This is the second consecutive quarter we have such a strong revenue growth momentum. Developer services revenue, which consists of subscription services and value-added services, increased by a strong 12% growth year-over-year and flat quarter-over-quarter. Subscription revenue has solid revenue numbers, well, it increased by 11% year-over-year and increased 7% quarter-over-quarter. Value-added services revenue grew by an impressive 22% year-over-year, but decreased 44% quarter-over-quarter. Our core business developer subscription services with revenue of RMB 57,300,000, record year growth of 11% year-over-year and 7% quarter-over-quarter. Year-over-year revenue growth was mainly driven by an increase in both customer numbers and ARPU. Subscription revenue recorded the fifth consecutive quarter of renminbi 50,000,000 plus revenue and reached its highest level in history in this quarter. Next, Amy Shea Moore on our global Flex global flagship product. Engaged App, which continues its excellent growth acceleration path quarter after quarter since its introduction. Firstly, Engage Labs ARR has reached a new and important milestone of RMB 53,700,000 mark in September 2025. This 160% year-over-year ARR growth was just impressive. Secondly, we had another very strong quarter for engagement where the cumulative contract value we get signed amount to renminbi 128,000,000 by the 2025. In Q3 alone, we signed up more than maybe $15,000,000 worth of new contracts. This is just outstanding. We do expect this revenue growth momentum to continue for the next twelve to twenty-four months. Thirdly, global customers from all corners of the world continue to purchase our products and services. The customer number has increased by 156% year-over-year, reaching 1,312. This was driven by the continued progress we are making for our global go-to-market effort. Firstly, our engagement products and services are now sold to customers in more than 52 different countries and regions globally. This is a great testament that our global flagship product, Engager, is indeed a globally accepted product. From customers originated from all four corners of the world. Our global flagship product, Engagement, has a very unique and different position in the market. We have been taking market share from competitors in all the overseas markets we operate in. This is evident from the growth rate of engagement we have seen today. From the market intelligence, we have gathered it shows that the demand for our engagement products and services remains strong. With this great result delivered by EngagedLab, once again reinforced my strong belief that this global flash product is the to spare as far as revenue growth is concerned for us in the next twelve months or twenty-four months. Within subscription revenue, some of the notable wins this quarter include anonymity two, LipSig, Shanghai Disneyland, BYD, and China Eastern Airlines, just to name a few. Value-added services revenue will remain b 7,100,000, increased by 22% year-over-year, but decreased by 34% quarter-over-quarter. Solid revenue year-over-year growth was mainly due to the increase in new advertisers acquired between the years. The absence of traditional quarter online shopping festival will result in a negative revenue growth sequentially. Now let me pass the call over to Shan-Nen Bong, who will share more about the application and other aspects of our financial performance for this quarter. Thanks, Chris.
Shan-Nen Bong: And next, I'll go over the revenue for a particular application that includes financial risk management and market intelligence. Overall, vertical application had a good quarter. Where revenue grew both year-over-year and quarter-over-quarter. Within vertical application, financial risk management recorded significant 33% growth in revenue year-over-year and 3% quarter-over-quarter. Financial Risk Management had its Following the strong Q2, sequential excellent quarter. It is now the third consecutive quarters of revenue in excess of RMB 21,000,000 under its belt. Another significant milestone for this business is that it recorded the highest quarterly revenue in history of RMB 22,600,000 in this quarter. This 33% year-over-year revenue growth mainly due to a strong 44% in customer number growth. The customers that we sign up or renew in QT in Q3 include, but not limited to, nursing. And many more licensed credit and financial institutions throughout China. Market intelligence revenue, on the other hand, decreased by 23% year-over-year and 2% quarter-over-quarter due to the weak the continued weak demand for the Chinese APP data. And this result is in line with our expectation. Next, I'll go over some of the P&L and balance sheet items. Our gross profit had spectacular results too. In this quarter where it grew 20% year-over-year and 7% quarter-over-quarter. The rupee 63,800,000 gross profit we had was also the highest gross profit for the past fifteen quarters. With the group revenues grew 15% year-over-year, yet our gross profit grew by 20% year-over-year, it shows that we had recorded very high margin revenue in this quarter. This is certainly a key target that we would like to maintain and extend beyond this quarter. Onto operating expenses. The Q3 operating expenses was at RMB 64,400,000, representing a 12.8% increase year-over-year, an increase of 5.8% quarter-over-quarter. Operationally, our Q3 revenue grew by 15% year-over-year while OpEx only grew by 12.8%. Overall, we are pleased to see how we have been controlling OpEx to support the double-digit revenue growth across our business line. I'll now dive deeper into the individual OpEx category. For R&D, expenses increased by 7% year-over-year to renminbi $25,900,000, mainly due to the increase in staff costs and associated expenses. Technical service fee and cloud cost also contributed to the year-over-year increase in R&D expenses. Selling and marketing expenses increased by 19% year-over-year to RMB 26,600,000, mainly due to the increase in sales commission in line with revenue growth and the cash collection in this quarter. Marketing expenses for investment in global business expansion also contributed to the year-over-year increase in selling and marketing expenses. G&A expenses increased by 13% year-over-year to RMB 11,900,000. Mainly due to increase in staff cost, professional fees, better provision. Next, I'll share three very important KPI that we closely monitor. For NDR, you should I mean, net dollar pension rate, a commonly used KPI for SaaS companies, is stood at 104% for our core developer service business for the trailing twelve months ended 09/30/2025. And this is the very first time where NDR numbers have exceeded 100% milestone. The number says it's all. It means customer retention rate coupled with the fact that our customer has increased their spending with us through upsell, upgrades, and extension. And this is the best testament of our sustainable SaaS business. Secondly, another important financial KPI for tracking the performance of staff company is total deferred revenue. Which represents cash collected in advance from customers for future contract performance. Which was at historical high of RMB 166,300,000. And this higher deferred revenue balance is a hallmark of a high-quality scalable business. It signifies the strong customer loyalties, predictable future revenue, healthy cash flow, and effective sales strategy. Thirdly, we continue to maintain healthy AR turnover days level at forty-nine days. And this remains at an industry-leading level. Cash from customers. We will continue to work hard to ensure we actively and timely collecting and at the same time mitigating the risk of bad and doubtful debts. On the cash flow, we recorded another great numbers. For the quarter ended 09/30/2025, recorded net operating activities cash inflow of 33,300,000. This is the best quarterly cash flow numbers we have since 2020. Onto balance sheet. Total assets were renminbi $3.08 8,200,000 as of 09/30/2025. This includes cash and cash equivalent of $1.01 1,200,000. Accounts receivable of 43,900,000. Prepayments and other assets of 15,700,000. Operating lease right of use assets of 15,900,000 fixed assets of 2,900,000, long term investment of $1.01 3,000,000, goodwill of 37,800,000, and intangible assets of 11,500,000 resulting from Sendcloud acquisition in March 2022. Total current liabilities were $2.07 4,600,000 as of 09/30/2025. And this includes accounts payable of 31,900,000. Other operating at least liability of 4,100,000. Deferred revenue of $1.06 6,300,000. Accrued liabilities of 72,300,000. Now let me take a few minutes here to recap the description. Good things come in pairs. That Chris mentioned at the beginning of this call. This quarter, we have many great achievements that I would like to take a few minutes to reiterate.
Weidong Luo: First, we achieved our very first back-to-back GAAP net profit in history. Number two, our core developer subscription business had its best revenue in history of 57,300,000. As did the financial risk management business. Our flagship product, EngagedLab, continued its expansion beyond the shores. Apart from great growth in customers' number and contract value, EngagedLab business reached another very important key milestone. Where the ARR was at 53,700,000 in September 2025. Representing a stunning 160% year-over-year growth. Gross profit grew 20% year-over-year and recorded its highest levels for the past fifteen quarters. Number five, operating activities brought in net cash inflow of RMB 33,300,000. Our NDR net dollar retention for core developers to be recorded at the best number in history of 104%. And now let's turn to business outlook. Based on the current available information, the company sees the Q4 2025 revenue guidance to be in the range of RMB 94,000,000 to RMB 96,000,000. Representing a solid growth of one to 3% year-over-year compared to the same quarter 2024. The above outlook is based on the current market conditions and reflects the company's current and preliminary estimate of the market and operating conditions and customer demands, which are all subject to change. Before I conclude, I'll give a quick update on the share repurchase plan. In this quarter ended 09/30/2025, we repurchased 4,000 ADS. Cumulatively, we have repurchased a total 327,000 ADS since the start of our repurchase program. And today, our board of directors of the company approved a share repurchase program whereby the company is authorized to repurchase up to US dollars 10,000,000 worth of its ordinary share, including in the form of ADS. During the twelve-month period starting today. And this is a 100% increase from the US dollars 5,000,000 program we had previously. The company proposed repurchase will be made from time to time in the open market at a prevailing market price. In private negotiated transaction, in block trades, and or other to other legally permissible means. Depending on the market conditions and in accordance with applicable rules and regulation. Company's board of directors will review the share repurchase program periodically and may authorize adjustment in terms of size and terms. The company expects to fund the repurchase of its existing cash. And this concludes our prepared remarks. We'll be happy to take your question now. Operator, please proceed.
Operator: Thank you. As a reminder to ask a question, please press 11 on your telephone and wait for your name to be announced. And to withdraw your question, please press 11 again. And our first question will come from Calvin Wong with Spica Capital. Your line is now open.
Calvin Wong: Good evening, management. Thank you for taking my questions. First of all, congrats for delivering another set of stunning results this quarter. I have only one question. Based on my reading of the earnings release, I noticed the strength of engagement that business. And how it strengthened the group's financial result. So I would appreciate if management could tell us more about EngageLab. And why the growth trajectory has been so strong since day one. Thank you.
Shan-Nen Bong: Let me take this call. Kevin, to hear from you again, and thanks for interest. And I'll take your earlier statement about EngagedLab rules to track has been strong since day one. And this is factual, and we are very proud of the achievement since day one. And for those listeners, have access to our ER deck that we have uploaded to the IR web page, You can refer to, I think, slide number three we have the pictorial display or diagram of engagement of EngishLab business to date. And one new particular data point that we have included in this quarter's earning deck is the ARR. It's the annual recurring revenue for English lab business. For the month of September, 2025, the ARR was at 53,700,000. And this is a 160% jump from a year ago. And we are very encouraged by this number. Because it shows that the business has a very significant growth trajectory, and we have made great revenue expansion in just twelve months. I would say the success of EnglishLab is not by chance that we are lucky. It was a result of endless improvement upgrades that we made to the product and service offering that help us to acquire more new customers and retain existing customers globally. If you look back, when Chris decided to launch English Lab back in 2022, the mission was pure and direct. Just to address our customers' main needs of reaching out and engaging with their users in a cost-efficient and effective manner. And through EngageLab, our customers are able to reach and engage with the users who anyone or all of the following messaging channels such as app push, web push, email, SMS, WhatsApp, and OTP. And also from a technical standpoint, have done all the heavy lifting for our customers too. To deliver the global solution for our customers, we have invested heavily in data facility in eight cities globally. And just this week, we have launched a new data center in Turkey. Further expanding our global infrastructure. That aside, we have also incorporated our notification channel for all different operating from iOS to Androids. From Harmony OS to others. And it makes it easy and efficient for our customers to ensure that their notifications are delivered no matter where the users are and what phone they are using. And maybe you can think of EnglishLab as reaching your users without borders. And for service-wise, we have received countless compliments from our customers. Our customer service team is very responsive and delivers a much better service than our peers. And this says a lot from a customer standpoint. And they when they encounter issues, they need solutions. And this is something that we can deliver, and we are proud of it. And therefore, with such a great value proposition, customers can get a one-stop engagement platform and great services all wrapped in one it is not hard to see why EngagedLab has been able to deliver such great numbers quarter over quarters. And historical results aside, and both Chris and myself had great hopes and confidence in the English lab business going forward. As Chris rightly called out during the call earlier, EnglishLab is the touch bearer for our revenue growth in the next twenty-four months. And, Kevin, hope this answers your question adequately.
Calvin Wong: Great to hear that. It's very clear then.
Operator: Thank you. And our next question will come from Jack Sun with Gullingway Research. Your line is open.
Jack Sun: Good evening. I'm Jack Sun from Gong Fu Research. Thank you, management, for taking my question. Congratulations on another good quarter with solid earnings. In particular, two consecutive quarters with getting that profit. Well done. I have a question for the management. Help me to recap what went well in Q3 that delivered another quarter with a GAAP net profit. Thank you.
Shan-Nen Bong: Hi. Hi, Jack. Thanks for the question. Yeah. It was a great quarter indeed. I think Chris mentioned we executed very well operationally and everything just went well. And this flow on to our financials number that we have released earlier today. There are a couple of things I can share more. Firstly, revenue in Q3 has been very strong. All business lines recorded great year-over-year double-digit growth. What I mean is we are now head and shoulders above where we were a year ago. And both the subscription business and the financial risk management recorded their own best revenue quarter in history. Equally important is the revenue by EnglishLab where it contributed RMB 13,000,000 in this quarter alone. Also a historical high. We grew our revenue not at the expense of sacrificing margins. This is evident that while we grew our revenue significantly, our gross profit reached the highest level for the past fifteen quarters. At the same time, our gross margin increased year-over-year and quarter-over-quarter too. And this is a really hard act to follow. And since revenue, gross profit grew at a faster pace than our OpEx, the US GAAP net profits is a certainty. And which is why we had a second quarter of US GAAP net profit. And two other important and great KPIs that I would like to reiterate here. One is the NDR. Where we reach 104% for our core developer sufficient business. And this is the very first time NDR exceeded 100%. And what that means is simple and straightforward. Our customers have been buying more of our services between the periods through upgrades, upsell, and other services. And this is a great number to have. And secondly, is the deferred revenue balance of 166,300,000, another historical high balance. In short, we have 166,300,000 worth of secure revenue that we can recognize in the future. And the best part is we have already received cash. So for this 166,300,000, we don't need even have to worry about cash collection effort or the risk of bad debt in the future. And managing cash flow has also yielded great results. In this quarter, we have net operating cash inflow of 23,300,000, the highest level for the past twenty quarters, which is actually the five years the past five years, the best results. And with that positive inflow of cash, our $9.30 quarter-end cash balance has also climbed to 141,200,000, the highest balance in the past fourteen quarters. It improved by 40% year-over-year. And you can see, it's not hard for you or anyone to conclude that this quarter has been great. And however, rest assured that we are not contented by the present. We need to move faster and expand more. Therefore, we will continue to invest as part of our global growth plan. And lastly, if time permits, I would like to quarterly invite you and other investors to drop by our central or head office. We are more than happy to host you and chat with greater detail any question you might have. Yeah. This is my answer to your question, Jack.
Jack Sun: Okay. Thank you. That's very clear. Appreciate that.
Operator: Thank you. I show no further questions in the queue at this time. I would like to turn the call back over to Rene for closing remarks.
Rene Vanguestaine: Thank you, everyone, for joining our call tonight. If you have any further questions and comments, please don't hesitate to reach out to the IR team. This concludes the call. Have a good night. Thank you all.
Operator: This does conclude the conference call. Thank you for participating and you may now disconnect.